Operator: Thank you for standing by. This is the conference operator. Welcome to B2Gold Corporation's Third Quarter 2023 Earnings Results Conference Call. [Operator Instructions]. I would now like to turn the conference over to Clive Johnson, President and CEO of B2Gold. Please go ahead.
Clive Johnson: Thanks, Isha. Welcome, everyone, to as Isha said to our conference call to discuss the results of the third quarter of 2023. I want to say a few introductory words, and then I'm going to pass it on. We have our Board here in Vancouver, most of our executive team, and you're going to hear from me and then Mike will walk us through, Michael Cinnamond our CFO, will walk us through the financial results for the quarter, and then Bill Lytle, COO, will walk us through an update on -- a brief update on projects around the mines, but also on the development projects, what we're doing and [indiscernible] update also, also talk about the way forward and potential for Mali expansion to give you a good update on that. Many of you have seen the results, of course, through the filing that was done yesterday. We're pleased with the results for the third quarter. We had another solid quarter and some good costs that are well run by our extremely good operating teams on all of the sites. Michael will take you through some of that. But as importantly as the results for the quarter are, I think we're really very comfortable about being on track for our guidance for 2023. So we'll update you on that and tell you why obviously, working for Fekola, scheduled for a good quarter coming up in the fourth quarter. We'll talk more in more detail about that. In terms of where we are and our focus a little bit and talk about looking forward a bit and some strategy where the key point as always is to continue to be a responsible miner and optimize the gold production from our existing mines to continue [indiscernible] we do on the ESG front in so many different places. Obviously, the focus now going forward on the development side is the Goose, which you'll hear more about going extremely well the construction at Goose and we're on schedule, on track, expecting first gold production in the first quarter of 2025 as we'll hear more from Bill. But that's going extremely well. We're very pleased with that. We've also had quite a bit of exploration. Drilling going up at Goose, George and are starting to get and we're pleased with what we're seeing both in looking at some of the infill drilling we're doing, but also some of the step outs looking to see if the potential is for what mineralization beyond what it had been drilled by Sabina. Remember they have a very small exploration budget, which is appropriate for a single asset company trying to finance and news release out next week, update on the Goose drills [indiscernible] next week. We're quite excited about that. We're also, of course, going forward, looking at the alternatives timing to potentially expand Fekola by production by trucking ore from the north. And also, there was some talk about maybe one day down the road, building a second mill to further increase production from the Fekola complex. We've had -- we've been waiting for approval from the government. The government, as everyone is probably aware, is coming out with the new mining code. We're looking how that works and Bill and Randall is here as well to walk us through some of what we're expecting there. We're looking for meetings with the government in the near term to try and discuss the implementation of the new code and how that might look for in terms of expansion and talk about everything we're doing down there with the government. So we're looking forward to having a positive result there. We do have heard repeatedly from the government, including recently, the government's ongoing commitment to gold mining -- and for investment in goldmining and we definitely had some nice complements recently about the way B2Gold has operated in Mali. And we're confident that we can continue to work with the government as we always have to find the best way forward for all stakeholders. So Bill will talk more about that. Obviously, as you know, as exploration and M&A looking at opportunities is always a very important thing of what we do. I would say that in the exploration point of view where we still -- we'll have another significant budget for next year. I can answer some questions about that, if you like. But I have another significant looking at brownfield exploration, which we've always done quite well around our mine and also additional regional exploration, but also looking at some new opportunities over Finland. We established a new company, an exploration company in the Philippines to look at other potential opportunities. We see the Philippines -- Philippines is a good place to be in the mining industry, but it's largely been unexplored for decades. We see ourselves as one of their success stories and the company agrees. The new government, -- the new government show that they are quite open to for investment, including in the mining sector. So we see an opportunity there. So we have 100% B2Gold-owned Philippine exploration companies to look at further opportunities [indiscernible] in the Philippines. In addition to that, we will continue to look at investing in junior companies where they have what we feel [indiscernible] people and good exploration prospects. We know how the market is, the gold equities today [indiscernible] exploration companies. So companies like Snowline [indiscernible] 9.9 in -- Marathon, et cetera, Matador, [indiscernible]. Yes, we like their exploration upside in Matador and we will be closely following their progress. The other thing to maintain going forward is our fiscal financial discipline, which I've shown for a long time. At the end of the day, we're in a very strong financial position, still paying the industry-leading dividend that's over 5% yield at the moment, and we're basically debt-free, so extraordinarily strong financial position and sitting on a substantial cash balance. Now we have some money to spend next year, of course, we have forward to maintain at all times a very strong financial position. In terms of additional M&A, we've made it clear, I think that we'll continue to do that we're not out there looking for new development projects. We're very focused on what we have. We reduced construction and then also with potential expansion of Fekola and then Gramalote. We did acquire the other half Gramalote. And at the end of the day, we've never really looked at it as a project owned by one company and what size and scale should it be we're always pushing because [indiscernible] to actually make it big enough for two companies. So we were looking at 350,000 or 400,000 ounces a year. Now there's a higher grade core currently of the Gramalote deposit can be significantly reduce the capital cost and make it a better project. It was closed before. Can we make it an economically attractive approach to move forward to with us doing it our way and building something maybe that can produce 200,000 or 250,000 ounces a year with significantly lower capital costs. So we're kind of a [indiscernible] we'll do a study next year, probably a PEA. So that'll let us see. So obviously that's down the road, but we do think that is a good place to be in, and there's lots of local support government and local citizens and even several companies say that they want some gold mining to go ahead in the country of Colombia. So I think with that, I'll pass to Mike to give you some more details on the results.
Michael Cinnamond: Good. Thank you, Clive. I'm going to report the quarter and give you also an overview of how we see out turning for the year and the guidance we've given for full year. So a solid quarter. Starting on the revenue side. We sold 249,000 ounces at an average price of $1,920 per ounce for revenues of $478 million. And I should say, overall, sales were a bit higher than budget, and we're about 16,000 ounces ahead probably on the budget side where we sales, and we think we'll see that go through that -- those were sales that were sold out from opening inventory. We think for the year, we'll see us between that as well. So we should be slightly ahead sales-wise versus production for the year. On the production side for the Q, total coal produced from our 3 operating mines 225,000 ounces, which is just slightly 8,000 ounces less than budget. And that's the [indiscernible] of some offsets. I think on the Fekola side, Fekola is about 13,000 ounces under budget, and it was impacted really by the grade and lower mill feed grade that was going through. Fekola is hit by significant precipitation in the third quarter that didn't allow us to mine some of the basic higher grade materials as quickly as we thought, so was supplemented with stockpiled -- lower grade stockpile material. We do expect that we are now in the [indiscernible] and running that material, and we expect that we will more than catch up in Q4. We actually expect to be budget for Fekola in Q4. So that was a temporary rain-induced event. I think that you'll see us catch up as we go through into Q4. Both of those operations are actually ahead of budget production-wise, [indiscernible] 51,000 ounces, 5,000 ounces ahead of budget. On Otjikoto, 45,000 ounces, 2,000 ounces ahead of budget, and they both benefited from great and slightly higher mill. At Otjikoto, the better grade is definitely at least partially significantly impacted by the Wolfshag material. We're mining material from Wolfshag underground, has an average of about 5.5 grams per ton. And I think just to put in context, I think we -- year-to-date, we've taken a mine approximately 50,000 ounces for change. And we expect Wolfshag material to continue, underground material to continue to be mined at least until 2026 as we continue to look at underground potential there. On the cost side, taking into account of those production results, overall, total cash operating cost from of our operating lines, we were $741 per ounce produced, including our share $75 per ounce. So approximately $50 lower than budget, and that's a good result. Again, in the Q Fekola was a little over budget. It was $688 or just under $40 an ounce higher than budget. And that's a function of the lower gold production we saw from Fekola in the third quarter. And like I said, that a lot of that was weather driven, and we expect to see them catch up in Q4. Masbate were both significantly under budget. That's been a story that's maintained as we've gone through the year and continues. And their beats on budget are a function of more production at each site and also lower fuel costs, particularly at Masbate. Masbate's seen [indiscernible] diesel costs to be approximately 20% less than budget. Otjikoto has also seen lower diesel cost. But again, because it's on the grid now, it's not impacted by anymore. We don't run the mill anymore. We take that power off the grid but diesel did have an impact there. And then when we take that and we look at the all-in sustaining costs for the Q, total from all of our operating mines $1,273 per ounce, approximately $90 less than budget. And again, that's firstly a function of the lower cash costs that we've seen lower than budget cash costs. And higher-than-budgeted sales, as I mentioned, we are a little bit ahead of sales and all-in sustaining costs are measured on per ounce sold. And then also some lower CapEx than we thought, certainly at Masbate. Some of the CapEx is lower than budgeted, and we think it'll likely be a permanent beat for the year. So I think we guided for somewhere in the region of $10 million that we're not going to incur through the balance of the year. And from Masbate, probably somewhere the reach of $4 million for the balance of the year will be permanent beats against budget. Fekola did see some higher CapEx. We did see some higher-than-budget sustaining CapEx, really, a lot of that related to fleet, either new fleet or fleet rebuilds. And as we look forward for the full year, maybe just a comment that, so where are we year-to-date? Production wise, we're very close to budget. We're at 3,000 ounces from our mines, lower than budget. And like I said, we are expecting to do some catch-up in Fekola in Q4. So we're confident in meeting our budgeted guidance range for production. I should mention as well that we didn't have any Fekola regional production this Q. We had forecast that we would see a start in Fekola regional production. However, as we've mentioned on other calls, there are delays within the mining audits in Mali and the new mining that were delays in getting new mining permit plants in. So we haven't been able to get Fekola regional production up and running this year, and then Bill will talk a little bit more about that and what the plans are for next year. But notwithstanding the fact that we didn't have Fekola regional with, what we see Fekola do in Q4. We still expect the Fekola production for the Fekola conflicts, which included regional in our original guidance. We do expect that we'll be able to meet our guidance range, which was 580,000, 610,000 ounces. Then on the Masbate and Otjikoto side, I'm confident, I think that we can maintain the beats that we've seen so far this year. And so overall, we think Masbate will come in. So we're at the high end with guidance range of to 190,000 ounces, and Otjikoto will come in, in its range of 190,000 to 210,000 ounces. And overall, we reiterate our consolidated guidance for the year, no change over the whole area. When you look at the cost performance year-to-date, Fekola is pretty close to budget on the cash cost side year-to-date. And Masbate and Otjikoto are still significantly under. So on the cash cost side, for the full year guidance, we said we expect to be within range for Fekola, but we have reguided cost downwards for both Masbate and Otjikoto. We haven't reguided overall consolidated range when you blend all that through. But we do -- we have guided that we expect to come in, so we're below the low end of our consolidated guidance range for cash costs. On the all-in sustaining cost side, similar story, Ojikoto is bad significantly under budget year-to-date. So we have reguided there, all-in sustaining cost guidance down. But with Fekola, as I mentioned in the Q, we saw some higher sustaining CapEx. And we've also approved some additional sustaining CapEx again, most significantly related to new fleet and fleet rebuilds for the Fekola mine and some additional solar plant costs. And with those, we see the Fekola sustaining CapEx could be somewhere around $50 million higher for the full year than budgeted. And so with that in mind, we've reguided Fekola's all-in sustaining cash cost guidance upwards for the period. But when you marry that up with the reguide down for the Masbate and Otjikoto overall, our consolidated guidance range is unchanged. Again and again, we expect to come in at the low end of that guidance range. And just another commentary on the CapEx, although we have the highest Fekola sustaining CapEx upwards, there are other Fekola nonsustaining CapEx expenditures that haven't all been incurred this year are unlikely to be. So we think they're offset. And when you look at the total CapEx for the year that was budgeted and where we see the forecast coming, that total CapEx, including sustaining and nonsustaining for both all the mines, we think we're going to come in very close to right on budget. So there's no overall change, but there is a bit of a change between the sustaining and nonsustaining mix. What's the operating results? A few other comments on where we are, as I mentioned, to collegial delay until we get into next year and understand how the 2023 mining port will be applied to get an updated study for regional, Bill talk to that. Gramalote as you saw and as we announced last period, we did buy out the second half AGA, half of the JV. So we now own the Gramalote project entity of 100%. And that purchase was used as a measurement trigger to measure the cost that we had on the balance sheet for Gramalote. So we did trigger an impairment of Gramalote for accounting purposes, noncash impact of about $112 million for the earnings related to that impairment. But the rationale for the transaction was that we now own the Gramalote 100%. And we're now able to look -- we think as a single owner, we can analyze maybe a lower scale operation, lower capital intensity, hopefully higher return, lower production, but overall higher grade operations. So that's the goal. The goal is to look at that. And I think our internal goal is here to have an internal study available with our first look at that by the end of the first half of 2024. Goose, again, I think Bill will -- leave that with Bill to give you the update exciting new project, and it's going to be a big one for B2 as we go forward, still on track to bring it online first quarter of 2025. Year-to-date, from a B2 point of view, we spent $157 million of cash on Goose capital expenditures, and we started funding Goose working capital. As an Arctic operation that has limited shipping season, keen to make sure that we actually get the right raw materials are consumables out there that we need to derisk that operation and keep on running. So year-to-date '24, we spent just over $40 million inventories and we are working on a plan to look at exactly what we think we need as we go through the next year and the next shipping season so that when we bring those up and running in early '25 we'll significantly derisk it and get to materials that we think we need on site. So I think we'll come up with a new estimate for that when we get into the 2024 budgeting release. Otjikoto just last couple of comments I did mention so we've had 50,000 ounces from Wolfshag year-to-date. We have also disclosed that we are -- we can see the end of the Otjikoto open pit operations come in. So there will be retrenchment in those operations in '24 completed in '25. And in the income statement, there was in total a charge of $12 million in the current year related to recognition of upcoming severance costs for the Ojikoto operations. Those are the main initial charges for those severance costs. You will see some other additional steps as we go forward, but they'll really be because of the passage of time and amortization purposes. but the initial recognition has now occurred. So just comment on a couple of things I think on the income statement. I think just to highlight what the main impact that we saw a good operating result with the Gramalote impairment, $112 million. That does, of course, get adjusted out in adjusted earnings. And so when you look at the bottom line for the year, the income attributable to shareholders of the company was $43 million and net income was $43 million loss or $0.03 per share EPS. But if you adjust out the noncash items, including that Gramalote impairment, adjusted income net income of $65 million and adjusted EPS was $0.05 per share. And then on the cash flow side, operating cash flow from operations after working capital, $110 million for the Q, approximately $0.08 per share. And as I mentioned, that did get impacted by a buildup of some consumables and inventory items at Back River to the tune of $40 million and also a little bit more of a longer delay in getting some of the tax receivables refunded. Financing side, nothing too significant. It's new to comment on, although that we did pay a dividend, the normal part of the rate that we have made over quite a few quarters now USD 0.04 per share. And then for the year -- for the period, we end up $309 million in the bank, as Clive mentioned, that's pretty much debt free. At the end of the quarter, we did draw $50 million on the line on the revolver in early Q4 as disclosed. And we do expect that we'll be drawing on that line as we go through the significant CapEx buildup for Goose through the next year. And I think that really summarizes everything I wanted to comment about in the results of the operations.
Clive Johnson: Okay. Thanks, Mike. Just maybe a little on Otjikoto, as we said, we're going to be seeing the end of over the mining, but we do have some great stockpiles in the future. We've had some encouraging results potentially continue underground mining more about that as we keep drilling. So there's significant potential to produce beyond when they open pit. [indiscernible] complemented by some other better underground grade material. So just so people are aware of that because they'll be there for a significant amount of time, perhaps more around 100,000 ounce a year in the future than the we're at right now. So we'll see how that develops. With that, I'll pass it over to Bill.
William Lytle: Yes. Thanks, Clive. I think a lot of the things I was going to talk about have been hinted at or even talked about a little bit. I just want to provide some more color to some of the issues. And I'll start. Operationally, Mike did a great job explaining everything. I think the key really there is to really highlight that we -- as far as Q4, we see everything on track. We're going to have a really good quarter in particular, at Fekola getting out to hit the bottom of Phase 6. And at Otjikoto, we're going to have a big quarter as well. So as Mike said, we're on track to meet our guidance. Looking at Fekola regional a little bit, I'd just put a little bit of history in place, so everyone remembers, we originally had internally last year come out with a preliminary economic assessment and then did a feasibility study, which we were presenting to the government when they halted us to kind of take a look at this new mining code and this new local content law. But the key thing, as you need to know is that study was done, and it was economic. And as part of that, the government actually let us start to build all the infrastructure. So the infrastructure for mining in that area is actually complete. And the reason I tell you that is it's important to understand kind of the process as we go forward. Now that they've got these laws in place, they have to create an implementation decree for both of them. We were down there, I guess, it was a couple of weeks ago talking to our team down there about the local content and how does that impact what we're doing. And basically, we saw a path forward on how we were going to resolve any outstanding issues on mobile content. And so right now, what we're waiting for is those implementation decrees to come out, whether it be at the end of this year or the beginning of next year when we can sit down with the government. And assuming that those are all finalized, we will be able to quickly submit our documentation based on the new laws. And if it's still economic, which we believe will be look at putting this into production. We probably need a quarter, 3 months once we get our licenses and our comments in place. So what we're talking about internally is that we're talking about in the second half of the year. So if you assume kind of Q1, you do all negotiations, get all your permits in place Q2, we do all of our pre-stripping and finalize all of our infrastructure, we can be ready in the second half of the year to go. And so that's the way we're looking at that for the regional stuff. As far as Goose is concerned, we did have -- we had an analyst trip up there not too long ago, and that went very well. I think we're very pleased with the work that's been done up there, and we continue to say that we remain on schedule for that. But if you remember, we always talk about kind of some key areas that had to be done. The camp was done. That opened up in early summer. We had to get 3 major buildings up, that being the mill building, the workshop and the powerhouse. All of those buildings are now stood up with the concrete. We're busy cladding them. And quite frankly, 3/4 of the mill has been clouded and we'll have that closed up here in the very near future so much. So we've moved installation of the mill ahead of schedule. So that is actually going to happen this month as the team is on site. The cranes have been installed to help us there. And so that's -- in regards to the construction of the mill, we're ahead of schedule. So really, what remains outstanding and is on the critical path is the logistics. All the procurement for the 2024 construction season was done. Everything was shipped, everything arrived at the MLA. So we're sitting there with more than 3,000 containers ready to be dragged up the winter road. The winter road construction team is on site now. All of the equipment has been run through as far as a maintenance check. And really now, we're just waiting for cold weather. So the plan really is to start in December on that work our way through the first couple of months and then start tracking things up the road in early February. So that would give us a nice long window to the first part of May to make sure that we get everything in. So we really remain on track. I guess one of the questions, which has been asked a couple of times is the mine plan, the updated mine plan. We've always said that, that is going to come out at the end of this year. And certainly, it will form part of our budget that we released for next year. But we don't see any issues there. That's going kind of as we had expected and kind of forecasted before. And then I guess maybe the last thing I'll talk about is Gramalote and Mike hinted a little bit. So Gramalote is a project that we've looked at a couple of times already, but we've always looked at it with a lens that has to be bigger, and it has to be within the confines of the permit that we already had. We now have taken full control of this project on 100% of it. And so it really allows us to take the blinders off or take the directional engineering off and really focus on what is the best design for this project. And so we're looking at a smaller project that a single company could operate, and we're really looking at consolidating some of the infrastructure into some of the basins altogether, and that would allow us to cut down some of the high capital costs of resettlement and some of the other issues of the infrastructure that had to be built. So the plan really is to start in Q1 of next year and just after the first year and to have a PEA out by the middle of the year. But I caution, once again, Clive always says that all PEAs are not the same. The fact of the matter is, is we have a very good resource there of indicated material. And so at the end of the day, while we will just be putting -- let's be laying out the infrastructure, we can move very quickly if it was positive after that. Okay. Anything else you'd like me to talk about?
Clive Johnson: No, I think that's good update. Bill, I think with that, we'll open up to questions. Operator?
Operator: [Operator Instructions]. The first question comes from Ovais Habib with Scotiabank.
Ovais Habib: Congrats on a good quarter. Again, this is despite the rainy season in the West Africa and great to see the development of Goose progressing well. Actually, also great to see costs coming in below guidance as well. So just a couple of questions from me. My first question is regarding the new mining code in Mali.  So from what I understand, once the decree has been provided to B2, B2 then applies for the permit or the exportation permit and then kind of moves forward with some sort of a trucking option. Does that negotiations that you're having with the Malian government right now, does that impact how you're looking at the stand-alone operation as well? Can you provide a little bit more color on that?
William Lytle: So I'll happily take it. Of course, Ovais, I mean, everything has to be on the table now. Certainly, the new '23 code does apply to anything regional. And quite frankly, without the decree, we can't really say which way we're going to go, but we have to look at both of them within the lens of the new decree for sure.
Ovais Habib: And what I'm trying to ask, Bill, is if you do get the decree, I mean, and you do go forward with the trucking option, is there a chance that negotiation could continue and then you get a better kind of understanding in economics for the standalone mill? Or is that kind of setting stone once you get the decree for, let's say, the initial start of Anaconda?
William Lytle: Yes. So I think conceptually, what you're saying is right, but we just don't know at this point, right? Because the decree hasn't come out, we haven't had the discussions sit down with the government. I mean, Clive, he hinted at it, but when we were down there just recently talking about local content, we did meet with the Minister of Mines. And the one thing he did say is he likes what B2 does and they do want mining in the country. So how that all plays itself out is yet to be seen, but that will all come out of the discussions after the decree.
Clive Johnson: I think one of the interesting things, Ovais, was the fact that Bill touched on it was that even though we were delaying it in the permit because of the mining audit, the new code, et cetera, the government encouraged us to go ahead and build the infrastructure for trucking ore. So, most of the infrastructure is in place ready to go. So therefore, the government was anticipating by encouraging us to go ahead and build the infrastructure even though we didn't have a permit to actually work, which is signal from the government that they clearly want to see that happen. For sure, obviously, everyone knows that Mali is looking for increased revenue, everyone difficult times, et cetera, in many ways. So clearly, gold mine and the 20% ownership where wherever it's going to be more than that under the new code of the area about the potential expansion area, not Fekola, but the potential expansion areas of the Fekola Complex in the North are great interest to the government in terms of increasing revenues. So they should be highly motivated to get permitted in our hands and get mining as soon as possible. So we're encouraged by that, and we'll see how the discussions go.
Ovais Habib: Just switching gears, I guess, to the Goose project. You guys were doing a lot of exploration work drilling in the area. When do we expect some results? And how kind of premier results looking so far?
Clive Johnson: Yes. I think we touched on that earlier, but we are -- a lot of drilling has been going on. We're starting to get results in, and we're going to have new results for you next week, giving you detailed updates on what we're seeing from that Goose drilling down including some assets. So we're very encouraged by what we're seeing so far, once again in replicating some of the grades before but also looking further down plunge and further opportunities. So I think potential there. And of course, as I said earlier, Sabina was understandably company trying to build do not spend a lot of money on exploration. It was $5 million a year, and we had over Canadian, we had over $20 million this year and even more looking forward into next year. So you'll get a good update on that next week.
Ovais Habib: And then just in terms of the drilling that you're doing, I mean, you guys had -- when we were at that site, you guys gave us an update on the underground development that had already been completed. Is there any drilling that's going from -- taking place from underground as well? Or is it just mostly surface drilling right now?
Clive Johnson: Do you want take that?
Unidentified Company Representative: The plan is certainly the first half of the year, the priority is actually to develop towards the ore. So that's the priority. So we'll continue drilling from surface. As soon as we have companies opened up for us to drill from underground will be added. There is already an underground rig on site. So as soon as we can, we'll replace that surface drilling with underground drilling, Ovais.
Operator: The next question comes from Anita Soni with CIBC World Markets.
Anita Soni: I just wanted to go a little bit further into the options for Fekola. And I know you touched upon it a little bit, but could you just sort of reiterate what you think, like where you think additional ore sources would come from? Should you not get your permits for the satellite deposits?
William Lytle: Well, if we don't get the -- if we don't get any approvals for the satellite deposit, you would have to stay inside of the mid and handy permit. So that's Fekola, that's Cardinal, and that's continued to develop the Fekola underground, but we wouldn't see any ore in '24 there.
Anita Soni: So like I know you mentioned that you were looking at ways to mitigate the 18,000 ounces that you had expected this year by accelerating Cardinal. I was just wondering if that could extend into 2024 or not?
William Lytle: Absolutely.
Anita Soni: All right. So you do have opportunities. Could you just quantify like what Cardinal could potentially add to the fold?
William Lytle: No, I can't really quantify because we're right in the middle of doing that as far as our budget season, so it would be a bit premature. But I will tell you that we are looking at how does Cardinal fit in? Are there additional ways to mine Cardinal in advance rate while we wait, all those things are on the table.
Anita Soni: And then I just wanted to ask about Otjikoto. Could you just tell me what the levels of the stockpiles are? I don't think I have that anywhere. So that you will be -- that you'll be processing once the underground and the open pit ore mined out in tons and grade if you have it?
William Lytle: Yes. I don't have it in tones and grade. , maybe you know -- now I'm speaking just from memory, and I'll correct myself if it's wrong. But I know we have more than 10 million tones on the stockpile and I believe it's at 0.404 grams.
Anita Soni: So you still want to--
Unidentified Company Representative: Sorry, answer to your question.
Anita Soni: So I was just wondering on the mill, did you want to continue to run it at the current levels if you were when you're processing the stockpiles?
Clive Johnson: Before we get to that I think at the end of the mine, Anita, I think there'll be close to 20 million tones of low grade sort of in the 0.44 to 0.48 gram per ton range. It's kind of a blend of low grade and mid-grade. So that's kind of where we'll be at the end of the mine life. So definitely 6 to 7 years of throughput available there to supplement with underground at the end of the open pit life. Can we talk about the mill, I think Anita is asking about would be?
William Lytle: Yes. So we have looked at what we, in fact, bring the mill back down. And the answer is we can, but we don't necessarily have to. Right now, the current life of mine shows us continuing to operate in that kind of 2.5 million to 3 million tones per annum and making a profit. It does require us, as you heard Clive indicate or Mike indicate, we're going to have to retrench all of the open pit workers, and we're going to have to bring our costs down. But it is profitable at those grades, and that's what the economics show for the next through 2031.
Anita Soni: And can you just remind me what the close liability on it is in 10 years from now or 7 years?
Clive Johnson: Well, I guess we've recorded -- probably I don't have the exact number, probably will inflate itself up to somewhere more like 20 million by the time we're done.
William Lytle: Yes. And remembering that because the open pit is closing next year, we've already started concurrent reclamation. So a lot of the waste dumps are already under reclamation right now.
Operator: The next question comes from Carey MacRury with Canaccord Genuity.
Carey MacRury: Maybe just a follow-up on Fekola. Was the original plan before the delays on the regional for Fekola to kind of be in that 600,000 ounce range next year? I guess my question is, were there the regional should we be expecting production to be down at Fekola or was that expected to be growth at Fekola?
William Lytle: Yes. So the answer is yes, production will have to be less. But you have to -- if you go back, I think you really need to go back to kind of the technical studies we had when we put out our last technical report. It did show '24 is a down year, right? So we always projected maybe less than 600, but it will be whatever we're going to produce and whatever we get in the regional stuff for 2024. So it will be down.
Carey MacRury: And now that you're back in the high grade, can you give a sense of what sort of grades we should be expecting for Q4 at Fekola?
William Lytle: Yes, I think it's plus 2 grams. But Carey, you could calculate it, if you just look at what our range was and where we're at and you could do the calculation because we're saying we're going to be kind of at the lower end of our range.
Operator: The next question comes from Don DeMarco with National Bank Financial.
Don DeMarco: Maybe I'll start off with Goose. Bill, you talked about the ice road and so the ice road is going to start in early September. You're waiting for it to be cold enough. Can you give us an idea of what specifically what kind of temperatures their sustained temperatures you're looking for before you can start?
William Lytle: No. What I can tell you is that we're looking for ice thicknesses, right? So basically, I think, once again, I hear up there, you want to start out with like a 1 meter thick of ice, then you can start dragging some of your containers up. And then as you get -- as it continues to freeze, it gets to heat sometimes in excess of 2 meters, that's when you can bring your heavier loads up in. And you said September, but it's actually will probably start in December on the Tundra, which freezes first and work our way out towards the water sources.
Don DeMarco: So I mean, it sounds like the team is ready to go right now on site. And so you're just basically measuring ice thicknesses or kind of waiting for the sort of green light to go ahead? You said you're targeting early December, just to clarify to start?
William Lytle: Yes. Well, that's right. So basically, the team will be put into place early December, that they've obviously got to make sure that all the equipment is operating. As I said, we've already done a full maintenance on it, but we've got to identify right now in the process of identifying which containers are going to come up first, loads, weights, all that stuff is happening at MLA right now. So that's kind of the early stuff we're working on right now.
Don DeMarco: And the total distance rose about 163 kilometers. If you build that over 2 months, 60 days, I guess, your target is roughly 3 kilometers per day, but you're building it from maybe 3 different fronts, right, from the middle and then from both endpoints? Is that it?
William Lytle: Yes, that's correct. And the key really is, remember, we're going to do the sea ice last. And so that's really where I think there's 20 or 30 kilometers of sea ice maybe 40, if I remember correctly. That's really the key stuff that has to freeze up, thicken up before we can go.
Don DeMarco: Okay, great. Maybe just shifting then to questions on Fekola has been answered. But on Calibre, can you share what your strategic intentions are with this with your 24% share in this? I mean I see from the financials ASICs still attractive, it's running around $1,200 an ounce. But what are your thoughts, medium or longer term with Calibre?
Clive Johnson: Yes, [indiscernible] have done a good job. I think it was a great deal that everybody want the -- the Nicaragua employees from the B2 tents stayed almost completely in place. And Calibre's got some good technical people, they do a good job of what they've done, and they continue to look to grow their production profile. So we're happy shareholders and they are good guys, well friends are doing a good job. We're happy with our investment going forward. I've always said to the Calibre guys, if you are -- whatever you're doing going forward looking for to bring the shareholder and we would consider position. But we're not in any rush to do that. And we're not -- we'll work with them and with Calibre and we like what they're doing, and we're happy to.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Clive Johnson for any closing remarks. Please go ahead.
Clive Johnson: Okay. Thanks all and of your participation and your good questions. And we look forward to continuing to update you, as I said, next thing out in terms of news would be the update on exploration in Back River, Goose and George. So thanks for your attention.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.